Operator: Ladies and gentlemen, thank you for standing by. And welcome to YY Inc.’s First Quarter 2018 Earnings Call. At this time, all participants are in a listen-only mode. After the management’s prepared remarks. we will have a question-and-answer session. I must advise you that this conference is being recorded today, Wednesday, 6th of June 2018. I would now like to hand the conference over to your speaker today, Mr. Matthew Zhao, IR Director of YY. Thank you, sir. Please go ahead.
Matthew Zhao: Thank you, operator. Good morning, and good evening, everyone. Welcome to YY’s first quarter 2018 earnings conference call. Joining us today are Mr. David Xueling Li, Chairman and Acting CEO of YY; Mr. Bing Jin, CFO of YY; and Ms. Ting Li, COO of YY. For today’s agenda, the management team will provide us with a review of the quarter. Following their prepared remarks, we will conduct a Q&A session. The first quarter 2018 financial results and the webcast of this conference call are available at ir.yy.com. A replay of the call will be available on the website in a few hours. Before we continue, I refer you to our Safe Harbor statements in our earnings press release, which applies to this call as we will make forward-looking statements. Finally, please note that, unless otherwise stated, all figures mentioned during this conference call are in renminbi. I will now turn the call over to Mr. David Xueling Li, our Chairman and Acting CEO. Please go ahead, sir.
Bing Jin: Thank you, Matthew. Hello, everyone. Welcome to our first quarter 2018 earnings conference call. This is Bing Jin, the CFO of YY. I will now speak on behalf of our Chairman and Acting CEO, David Xueling Li. We entered 2018 with robust growth in the first quarter. Our total revenues increased by 43.3% year-over-year to RMB3.25 billion, exceeding the high end of our previous guidance. Cash flows was mainly driven by a rapid 47.4% year-over-year increase in our live streaming revenues, which further demonstrate our leading position in China’s live streaming industry. The successful public listing of our game live streaming subsidiary Huya on the New York Stock Exchange in May opened a new chapter Huya as a group company. This is a very important milestone in our twin growth engine strategy. We have recently developed Huya four years ago with a clear vision of building it into a leader in game live streaming with YY Live as the leader in entertainment live streaming. Huya has always been an integral component of our ecosystem and shares synergy with YY’s other business. We will continue to consolidate Huya’s financials into the group company post its IPO. We believe Huya's IPO will unlock its growth potential, lay a solid foundation for its next stage of development and create greater value for our stakeholders. Going forward, both Huya and YY Live will continue to solidify their leadership positions in their respective markets. Together as a group company, we are very confident that YY will further enhance its dominance in China’s live streaming industry. In addition, we just announced yesterday that YY further invested US$272 million in the series D preferred shares of Bigo, as the lead investor. Bigo is a fast-growing global video-based social media platform. YY is Bigo’s existing shareholder and has become the largest shareholder of Bigo after series D financing. YY has also obtained the right, exercisable after the first anniversary of the closing date, to purchase additional Bigo shares at the then fair market price to exceed 50.1% of the voting power in Bigo. We believe that the significant synergistic relationship between YY Live and Bigo will further contribute momentum to our expansion into the global market. Next, I will like to give you an update on YY Live’s recent efforts in product innovation, content enrichment, and AI backed technology enhancement. We continued our product innovation by rolling out a series of new functionalities and features in the latest version of YY Live, which was launched in May. In that version, we introduced a new feature called Host Battalion. It combines live streaming and casual games with social features in an innovated manner and encourage both users and their host to engage in personalized interaction through the game. Since we launched a new game called Happy Whack-A-Mole in May to beta test the Host Battalion feature, thousands of hosts have connected with their audiences through this new feature on a daily basis and we have received very positive feedback from both the host and users. We are planning to launch more games with Host Battalion features in the second quarter and the rest of the year to further enhance the user’s engagement and interaction, as well as the monetization in our ecosystem. During this quarter, as a leader in China’s live streaming industry, we produced more live streaming contest to cultivate a healthier and more positive social environment. As part of our efforts to lead the charge on this social responsibility, we actively work with many live streaming hosts and launched in the first quarter over 90 streaming sessions with social well-being related content, such as protecting those susceptible to discrimination, helping the low-income groups, and advocating China's traditional culture. In addition, we always we have always tried to stay compliant with the guidelines or regulations and proactively monitor and manage our content to promote the social well-being of the general public. By offering more high-quality live streaming content to the Chinese audience we are confident that we will continuously enhance YY's social image and solidify our position as a live streaming industry leader in China. In addition, we’re very delighted to announce that Mr. Jeff Pengjun Lu has joined our firm as our CTO. Jeff is a top-class IT expert in search technology, recommendation algorithm, computer vision and speech-related AI technologies. His experiences should contribute significantly to our strategic and technical capabilities. While managed with Jeff's working experiences and tech insights we are further building our AI-based system to provide customized live streaming content and better investing experience. Going forward, we remain very committed to investing in technology and product innovation to ensure YY’s continued market leadership in live streaming industry. Overall, we are very pleased with the progress we achieved in the first quarter. Looking ahead, we will remain committed to our social responsibility and continue to develop more positive and upbeat live streaming programs. We are confident that our comprehensive live streaming ecosystem, including both Huya and YY Live will be able to achieve the lion’s share of the live streaming market here in China. And our further investment into Bigo will also position us well to capture the massive opportunities in the global market. That concludes the remarks of our Chairman and Acting CEO, David Xueling Li. Now as the company's CFO, I would like to discuss our financial results in more detail. We are glad to see continuous growth in the first quarter of 2018. Our total net revenue for the first quarter increased by 43.3% year-over-year to RMB3.25 billion, which exceeding the high end of our previous guidance range. Such growth was mainly driven by 47.4% year-over-year increase in revenues from live streaming, which contributed 93.3% of total net revenues in the first quarter. As we continue our efforts to invest more resources into the mobile platform, mobile contributed 57% of our live streaming revenues in the first quarter of 2018. Mobile live streaming MAUs increased by 23.9% to 77.6 million in the first quarter of 2018 from $62.6 million in the prior year period. Live streaming paying users increased by 17.3% to $6.9 million in the first quarter 2018 from $5.9 million in the prior year period. Mobile paying users constituted 79.1% of overall live streaming paying users in the first quarter of 2018. Cost of revenues for the first quarter increased by 46.4% year-over-year to RMB2.02 billion. Revenue sharing fees and content cost to paid to performers, guilds, and content of providers as a percentage of the live streaming revenues increased year-over-year primarily because of our efforts to strengthen our relationship with performers and further increase our live streaming content offerings. Bandwidth costs as a percentage of total revenues decreased year-over-year, partially because of our improved efficiency through technological advances and better pricing terms resulting from our economic upscale. Gross profit for the first quarter increased by 38.6% year-over-year to RMB1.23 billion. And our gross margin was 38%, compared to 39.3% in the prior year period. Our operating expenses was RMB649.1 million during the first quarter of 2018, compared to RMB230.8 million in the prior year period. Sales and marketing expenses for the first quarter were RMB235.7 million or 7.3% of our total revenue, compared to RMB88.6 million or 3.9% of total revenue in the prior year period. The increase in our sales marketing expenses this quarter was mainly driven by our increased investment in promoting our new mobile products and features. Our R&D expenses for the first quarter were RMB249.5 million or 7.7% of total revenues, compared to RMB165.6 million or 7.3% of total revenues in the prior year period. G&A expenses were RMB164 million or 5% of total revenues in the first quarter compared to RMB76.7 million or 3.4% of total revenues in the prior year period. Our GAAP operating income for the first quarter 2018 was RMB596.4 million, compared to RMB617 million in the prior year period. The decrease was mainly attributable to higher sales and marketing expenses in the first quarter 2018 and an increase in share-based compensation. Our non-GAAP operating income, which excludes share-based compensation expenses, impairment of goodwill and investments, and gain on deconsolidation and disposal of a subsidiary, increased by 20.6% year-over-year to RMB727.3 million in the first quarter 2018. Our GAAP net income attributable to YY was RMB444.1 million in the first quarter of 2018, compared to RMB543.2 million in the prior year period. Our GAAP net income attributable to YY this quarter includes RMB426.5 million of gain on fair value change of investments and deemed dividend to subsidiary's Series A preferred shareholders related to Huya Series B equity financing, which was a loss of RMB489.3 million. Excluding such impacts as well as gain on fair value change of investments, fair value loss on derivative liabilities, deemed dividend to subsidiary's Series A preferred shareholders, income tax effects of above non-GAAP reconciling items, and adjustment for non-GAAP reconciling items for the income attributable to non-controlling interest, our non-GAAP net income attributable to YY increased by 31.1% to RMB699.9 million in the first quarter of 2018. Non-GAAP net margin in the first quarter of 2018 was 21.5%, compared to 23.5% in the prior year period. Diluted net income per ADS in the first quarter of 2018 was RMB6.86, compared to RMB9.25 in the prior year period. Non-GAAP diluted net income per ADS increased by 18.5% to RMB10.78 from RMB9.10 in the prior year period. Looking forward to the second quarter of 2018, we expect our net revenues to be between RMB3.6 billion and RMB3.7 billion, representing a year-over-year growth of 38% to 41.8%. In addition, we expect to have a fair value loss on derivative liabilities of preferred shares amounting to approximately RMB2.3 billion due to an increase in Huya's enterprise value as indicated by the price of its IPO, which will cause a negative net income attributable to YY Inc. in the second quarter of 2018. This forecast reflects our current and preliminary views on the market and operational conditions, which are subject to change. This concludes our prepared remarks. Operator, we would now like to open the call to questions.
Thomas Chong: [Foreign Language] I'll ask my questions in English. First, thanks management for taking my questions. My first question is about the strategies for Bigo over the next couple of years, as well as the financial impact to YY. And my second question is about the competitive landscape in live streaming over the next couple of years. Thank you.
David Xueling Li: [Foreign Language]
Matthew Zhao : Okay, let me do the translation. So, this is David. Thank you, everybody, for paying attention to our investment to Bigo's news yesterday. Actually, YY invested about USD272 million to increase YY's holdings in Bigo in this round. But YY actually is a distinct shareholder for Bigo, and currently up to this round, YY has become the largest shareholder for Bigo. And in total for the Series D financing, this is about USD365 million investment. So, except for YY's $272 million, there is another around $93 million of the investment coming from existing shareholders, as well as management teams. And we think that $97 million is about $70 million is coming from the management team, which demonstrates the very strong confidence from the management team for Bigo's future development.
David Xueling Li: [Foreign Language]
Matthew Zhao : So, investment to Bigo actually is a milestone for the YY streaming environment. So, expect for Bigo, actually, the whole YY group also will – implemented of international strategy going forward. So, all the separate, all – every of the business unit of the YY group going forward will consider and pay more attention in terms of the international strategy, and that one will help of our business improve our competitive edge from the global market.
David Xueling Li: [Foreign Language]
Matthew Zhao : Let me share with you more about Bigo's operational data. So Bigo's business has been developed rapidly in the past two years from the global market. So, currently, its main business is coming from two parts, which is live streaming and short-form videos. And actually, especially for the short-form video business, it's perfectly to complement of YY's business in terms of the short-form video business in the mainland of China market of the position. And in 2017, Bigo has growth over 13 million of monthly active users, with revenues in excess of USD275 million. And currently, Bigo's business has covered more than 100 countries and different regions in the world, and it also has over 19 of the office worldwide. So, all of those kind of measures Bigo's experience, as well as achievements from the global market is a good complement to YY's current business and also to provide a good experience in terms of YY's future international strategy.
David Xueling Li: [Foreign Language]
Matthew Zhao : So that is the answer to your questions.
Bing Jin: And Thomas, quickly on – you asked about the financial impact to YY. I don't think there will be much impact from Bigo because we are not consolidating Bigo at this stage, as we disclosed in the news. We have an option to consolidate Bigo in one year, but at this stage, we don't consolidate.
Thomas Chong: Got it. Thank you.
Operator: Your next question comes from the line of Eileen Deng from Deutsche Bank. Please ask your question.
Eileen Deng: [Foreign Language] I have a question on the follow-up of the investment on Bigo. What is the current shareholding post the latest round of investments? And what kind of support that YY will give Bigo in terms of this market share expansion in overseas? Could management comment in terms of this technology, financial or traffic support? And any color on this Bigo pay ratio and margin profile that management could share with us? And what kind of a scenario can trigger YY to consolidate Bigo in the future? [Foreign Language] My second question is on the new version of YY Live. Any operating metrics regarding the users and the hosts that management could share with us since the rollout of the updated version? Thank you.
David Xueling Li: [Foreign Language]
Matthew Zhao : Let me do the translation. So currently, up to this round of the investment to Bigo, YY has become the largest shareholder for Bigo's business. But in terms of YY's holding ratio, because of competitive reasons, we are not disclosing at current stage. But you also read from our press release up to one year later, YY also got an option to increase our share position to exceed of 50.1%. So that actually demonstrates between Bigo and YY's business, they have a close relationship and it will continue to show the synergies going forward.
David Xueling Li: [Foreign Language]
Matthew Zhao: In terms of the future general strategy for the YY's group, we are now intended to spin off more of our business unit to be separate. Other than that, we prefer to attracting more good asset into the YY group's as a part of the disclose. So, because we truly believe that will continue to increase our competitive edge and also to increase the value for the whole group.
David Xueling Li: [Foreign Language]
Matthew Zhao: I also want to introduce Mr. Jeff Pengjun Lu, our new CTO. Jeff actually is a top-class IT expert in China in terms of AI technology and also the content management. So, after he joined the company, we actually also build out a very strong technical team to focus on AI technology development. So, going forward, AI also become another major focus for the YY's – the technology innovation going forward. In the past decades, YY already accumulate strong rich experience, in terms of audio, video, the image recognition, as well as appropriate content censorship. So, we actually can further develop those kind of technology embedded with AI features. And going forward, we can actually apply our technologies to other companies and also even to other countries to use. So, this part of our strength in terms of the technology also will provide a strong support for Bigo's, going forward, development. And for the financial questions, I'll let Bing answer that. Thank you.
Bing Jin : Yes, I mean, so in terms of financials, as David has mentioned that Bigo has paid $365 million around this time. So, majority of that coming is coming from YY. So that is definitely a source of our signal. So, on one hand, as David mentioned, YY going forward will kind of include more of rising business in our ecosystem rather than stream out some of the business. So that's a very strong signal. Secondly, we provide USD 272 million cash into Bigo, and Bigo also has its management follow on. So, with that amount of cash, we do think there's market potential that we can capture. Now Bigo's scale is already quite sizable. As David mentioned, last year's revenues is over $275 million. So that's not a small business, first of all. But secondly, we do think, globally, the live streaming industry as well as short-form video has massive market with less competition at least right now. So, we think Bigo is in the perfect situation to capture that growth momentum. And with YY's support in technology, in personnel, in live streaming industry experience as well in the financial resources, we think Bigo has a bright future. For the – with regards to the paying ratio and operating margin for Bigo, I think it's still too early to disclose, but we'll closely observe Bigo's financial operating metrics, and at the right time, we will pull the trigger for consolidation. Thanks.
Ting Li: [Foreign Language]
Matthew Zhao: This is Ting, the COO. So, let me give you more colors in terms of our new features which is embedded of the latest world on YY Live, which is called Host Battalion. So, for the Host Battalion, it's a good – it's a new feature, which is more focused on the multi-people interactions within of the live showrooms. There has two major goals, and I would say to further improve of our ecosystem. Firstly is, this feature actually to help – to further help the host – in terms of the entry barrier for hosts to produce content will continue decrease. The major reason, because we actually embedded those kind of features. So, the host can play the game with the audience together, so that actually can help the host to produce more content. And secondly, in terms of participation from the users or the audience, it also has been significantly improved. The previously features, most of that, the audience only can watch of the competition rather than participate on that, but in the new version, like the Host Battalion, actually, the audience can participate. We think of those kind of game features. And currently, it's just about 2 to 4 people, but in the future, it can be over 100 or even over thousands of users or the audience also can compete, also can participate within of the live showrooms. So that, we truly believe, is an upgrade for our – the live showrooms ecosystem. That's our understanding about the Host Battalion. Thank you. So, operator next question please.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Natalie Wu from CICC. Please ask your question. Natalie, your line is open. Please go ahead.
Natalie Wu: [Foreign Language] Let me just translate myself very quickly. So, thank you for taking my question, and I have two questions here. Firstly, I noticed that you still have a bottom cash in hand after investment on Bigo. Any shots on regarding the – maybe possible and then maybe in the future? And secondly, as you know, some of your competitors launched incentive plans for guilds late last year and achieved encouraging performance. I was just wondering any possible impact for the guilds originally active on YY's platform? Thank you.
Bing Jin: Thanks, Natalie. Let me address those questions. So, the first question is, yes, we do still have a lot of cash onshore and offshore, and as we demonstrated yesterday, we made investment into Bigo. In parallel, we're looking at various opportunities in China and globally. The key thing is still on the upstream traffic acquisition. As I've explained many times with different investment analysts that we are very strong in monetization. A lot of the other competitors are following us, but we're relatively weak in terms of the upstream traffic. So that's why we've continued to look at global social network, social games, instant messaging app, et cetera, with a decent amount of traffic, and then direct traffic to the downstream monetization. We're also looking at good quality content, et cetera, to enhance the user stickiness. So, we'll make sure we use the money the smart way. And cash is never enough, right, because there's just so many abundant opportunities out there. So that's a first thing. Second thing, you mentioned, Momo's incentive mechanism to guilds. For us, we don't see any impact. As I said, we are the innovator and lead runner in this live stream industry. We have a very deep-rooted ecosystem with all the guilds, thousands of guilds to help promote, for example, those [Foreign Language], right, good quality, golden brands are guilds. We have a very deep relationship, and they keep coming back to us to promote their host because they find that we have the most vibrant ecosystem. And then the guilds and the hosts can get the maximum amount of shares of the revenue structure. So, we don't think that poses any threat to us.
Natalie Wu: Got it. Thank you, Bing Jin.
Operator: Your next question comes from the line of Jerry Liu from UBS. Please ask your question.
Jerry Liu: [Foreign Language] I'll translate that in English. My main question is – my question is about margins, mainly gross margin and operating margin, specifically within gross margins. Just wondering about the revenue sharing, the content costs for the next few quarters because as we noted before, in 1Q, it's as a percent of revenue, slightly higher than a year ago. So, do we plan to maintain this level of revenue sharing going forward? Thank you.
Bing Jin: Thanks, Jerry. Let me address the question. So, with regard to gross margin, this year's gross margin, a little bit lower than last year mainly because in the third quarter last year, we introduced – we made change to blue diamond policy, basically giving out more revenue sharing to the small- and medium-size hosts, so for a long-tail effect. And we still see a very healthy impact from that because those small and medium hosts, some of them actually left YY's platform before, but with this incentive, they come back and they embrace more time and content in our ecosystem. So, we think that's healthy for our long-term ecosystem. But since we did that change, we will expect more change moving forward. So, going forward, I think the gross margin on the YY Live side will be relatively stable. Now, on the operating margin side, we do have operating leverage for G&A and R&D. For sales and marketing, as you see, the first quarter sales marketing is a little bit higher in terms of added dollar and percent of revenue term compared with fourth quarter last because we actively promote one of our product [indiscernible]. It's a leisure game collection platform. So, going forward, in the second quarter and the rest of the year, we'll continue to launch new product features such as Happy Battalion, other kind of happy features, so that might entail some of the sales and marketing. So, I would say, operating margin might fluctuate due to our spending on sales and marketing.
Jerry Liu: Thank you.
Operator: Thank you. Your next question comes from the line of Karen Chan from Jefferies. Please ask your question.
Karen Chan - Jefferies: [Foreign Language] I’ll translate myself. My first question is whether management can share your thoughts on product roadmap this year, particularly given the intense buying of short video competitive landscape. Any update there on our short video strategy progress so far? And my second question is about how should we think about the annual sales and marketing budget? And in terms of traffic acquisition, both organically and inorganically, what's our consideration there? Thanks.
David Xueling Li: [Foreign Language]
Matthew Zhao: Let me do the translation. So, this is David. Let me address your question in terms of the competitive landscape for the short-form videos. Firstly, in terms of the China market, so although we noticed there are several of the major giants are arising from the short-form video arena, but we truly believe there still has abundance of the verticals of the opportunities there. So, from YY's perspective, we will continue doing more explorations in terms of our – the short-form video focus of the product development, as well as the future exploration. But meanwhile, in terms of the global market for the short-form videos, we truly believe there still has a lot of opportunities, especially if you will consider our newly – including of the results that's coming from the global side. And also, in terms of the global market, that has significantly diversified based on the different country and different cultures, different background. So, we also will closely monitor the development for the short-form video global market, and we’ll be doing more effort on that. Thank you.
Bing Jin: And Karen, regarding to your sales and marketing expense and organic and inorganic component, this is how I look at it. So currently, roughly 60% of our sales and marketing goes to the traditional channels, meaning, all the major app stores, the main traffic channels. Those, we'll continue to allocate and explore, because whenever we want to promote new product, we want to make sure those can be searched. And also, the 40% goes to the so-called creative sales, marketing, branding campaign as we did last year. We covered with some of the popular TV channels, some of the popular content channels and some of the offline event, or [indiscernible] driven kind of events. So, we'll continue to explore very innovative way to cater for different demographic. That's for the spending directly, but I also think we can do good strategy in terms of M&A. As I've said just now, we can acquire or invest in some of the decent DAU – MAU kind of traffic social network platform. Then that itself is a creative traffic acquisition channel. And in those cases, the ROI can be even better if the deal can be structured in the right way. So, we do think we have multi-strategy to enhance our user acquisition.
Karen Chan: Thank you very much.
Operator: Thank you. Your next question comes from the line of Eddie Leung from Merrill Lynch. Please ask your question.
Eddie Leung: [Foreign Language] So my question is about the potential expansion of vertical content in live broadcasting. So, wondering how management would think about the potential conflict or overlapping of content between YY Live and Huya in the future? Thank you.
David Xueling Li: [Foreign Language]
Matthew Zhao: Thank you for your question. This is David. I will address in terms of the differentiated comparative ads going forward between YY and Huya. For YY, we continue focus on the – what we call, the empowerment. So, we actually through – trying our best through the product development, as well as other efforts to enable more people to have the capability to do the live streaming. And through those kind of efforts, actually that can help us to produce more diversified user-generated content from more general peoples, and we will continue focus as an entertainment platform going forward for YY. But for Huya, it's the different directions. So Huya's major focus going forward definitely will be continued focus on the potential esports market growings, as well as game live streaming. So, in the past two years, we actually already to monitor the significant growth from the esports market in China. So, for Huya's major goal, definitely it's how we can gather the bigger pie from the booming, growing of the esports market going forward. And for the entertainment live streaming business it's – I will say, it's a major – it’s a traffic monetization tools for Huya, and its major need to attracting the, what we call, the ME level, as well as the long-tail of the entertainment live streaming host to doing the performance there. But again, as I have addressed before, so going forward, Huya definitely will continue to focus on the esports efforts, as well as game live streaming. So, in summary, between YY and Huya, they have different directions, they have different focus. We don't see there has the potential cannibalization or the competition going forward between these two platforms. Thank you.
Eddie Leung: Thank you.
Operator: Thank you. Your next question comes from the line of Alex Yao from JPMorgan. Please ask your question.
Alex Yao: [Foreign Language] So good morning, management. I have two questions. Number one is that, you discussed in the previous question that it's not likely that YY will spin-off more assets in the next few years. It's more likely that YY will integrate new business from external sources into the YY platform. Directionally speaking, what kind of business fits into the YY platform? And as a platform, what value can you provide to this new business? The second question is regarding the core YY growth outlook. So, you guys continue to explore the vertical growth opportunities through either internally incubated assets such as Huya or externally invested assets such as Bigo. How do you think about the core YY talent show growth outlook for the next couple of years? Thank you.
David Xueling Li: [Foreign Language]
Matthew Zhao: This is David. Let me answer your questions. So firstly, in terms of the cost strategy for YY going forward and what kind of asset we'll be more interested, we would say, it's still live streaming related of the asset of the business is the most things we're interested in. The major reason is, because those part of business is most similar for ourselves, and in the past decade, we actually accumulated a lot of experience from – for the live streaming business. So, we will continue to focus on that in terms of the both of the upstream, as well as downstream. For the upstream, we will look at more target in terms of the content production, as well as other content-related asset. And for the up – downstream, we will focus on more – the live stream related of the consumption factors, such as the Internet finance, or et cetera. So that things is we will pay more attention going forward. And secondly, we truly believe in the next decade, the shape of the live streaming business will be significant changed in the industry. So, we are more focused on the future and what kind of services or what kind of content we can provide for our future users in the next five to 10 years. So that will be another focus, another – the deep thinking from the management going forward. And then the third part is in terms of the live streaming or the entertainment live streaming itself, it also can be evolving into more complicated and more interested of the format or the forms going forward. So recently, our practice such as heavy content or the Host Battalion is a good access for the live streaming format. So, we actually can embedded and involve more host and users to play games together. So that's – the third of the arena is, we'll continue doing more exploration. So, in summary, these can – three of the fields is what we are going forward to pay more attention. Thank you.
Bing Jin: Yes, and then maybe I'd just quickly add that because Alex, you asked about the user increase and also ARPU increase of Host Battalion. I do think there's a lot of potential. And as David has mentioned that the live streaming format and content might be very, very different, and we're constantly innovating internally and also looking at excellent opportunities to do investment or acquisition. But I think related to the core entertainment live streaming, several things will happen, right? One is on the deepening and diversifying of content. So, we – on our platform, we have more verticals than you can imagine, right? We have patch, we have animation, we have e-commerce. Those are all ways of attracting different people and also engage them longer. And then we incorporate a lot of the interactive features, such as the Happy Battalion. That's a new format of live streaming. And then someday, it will increase the ARPU and paying ratio, resulting in good financials. And also, for the AI, AI has a lot of also room for global enhancement. A single twitch on our homepage by different adaptation of the features and live streaming content will arouse the user viewing behavior and enhance the paying ratio structure. So, I do think there's a lot of potential that we can do.
Alex Yao: Thank you.
Operator: Thank you. I would now like to hand the conference back to the management team for the closing remarks.
Matthew Zhao: Thank you, operator. Thank you all for joining us today. We’re looking forward to speaking with you in the coming quarters. Thank you.
David Xueling Li: [Foreign Language]